Operator: Good day and welcome to the Bruker Corporation, Fourth Quarter, 2021 Earnings Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I'd now like to turn the conference over to Justin Ward, Senior Director of Investor Relations and Corporate Development. Please go ahead, sir.
Justin Ward: Thank you, Jason. And good morning, everyone. I would like to welcome everyone to Bruker Corporation fourth quarter and full-year 2021 earnings conference call. My name is Justin Ward, and I am Bruker's New Senior Director of Investor Relations and Corporate Development. I joined Bruker in January and I'm looking forward to meeting many of you in early 2022. Joining me on today's call are Frank Laukien, our President and CEO, and Gerald Herman, our Executive Vice President and Chief Financial Officer.  In addition to the earnings release we issued earlier today, during today's conference call, we will be referencing a slide presentation that can be downloaded from the events and presentation section of Bruker's investor relation website. During today's call, we will be highlighting non-GAAP financial information. Reconciliations of our non-GAAP to GAAP financial measures are included on our -- in our earnings release and are posted on our website at ir.bruker.com.  Before we begin, I would like to reference Bruker's safe harbor statement, which is shown on Slide 2 of the presentation. During this conference call, we will make forward-looking statements regarding future events and the financial and operational performance of the Company, that involve risks and uncertainties, including those related to the ongoing COVID-19 pandemic, as well as ongoing supply chain, logistics, and inflation challenges. The Company's actual results may differ materially from such statements.  Factors that might cause such differences include, but are not limited to, those discussed in today's earnings release and in our Form 10-K as updated by our other SEC filings, which are available on our website and on the SEC's website. Also, note that the following information is based on current business conditions and to our outlook as of today, February 11, 2022. We do not intend to update our forward-looking statements based on new information, future events, or for other reasons except as may be required by law prior to the release of our first quarter 2022 financial results expected in early May 2022.  You should not rely on these forward-looking statements as representing our views or outlook as of any date after today. We will begin today's call with Frank providing an overview of our business progress. Gerald will then cover the financials for the fourth quarter and full-year 2021 in more detail and share our fiscal year 2022 financial outlook. Now, I'd like to turn the call over to Bruker's CEO, Frank Laukien.
Frank Laukien: Thanks, Justin. Great to have you at Bruker. As some of you know, we welcomed Justin a few weeks ago as our new Senior Director of Investor Relations and Corporate Development. And this is his first earnings call with us. Now, good morning, everyone, and thank you for joining us on today's earnings call. As you can see on Slide 4, Bruker's solid 11% organic revenue growth in the fourth quarter, capped off a year of outstanding progress for the Company.  Robust demand for our differentiated high-value instruments and solutions resulted in continued strong momentum in bookings and revenues, despite meaningful supply chain challenges. In fiscal year 2021, our BSI segment organic bookings and backlog both increased in the high teens percentage year-over-year. Accordingly, we are ramping up significant CapEx investments for capacity and productivity, as well as substantial OpEx investments in commercial organizations and R&D for our Project Accelerate 2.0 high-growth, high-margin initiatives.  For the fourth quarter of 2021 BSI segment order bookings growth year-over-year was about 10% on an organic basis, driven by broad-based customer demand, with the U.S. demand being particularly strong. Bruker's Q4 2021 revenues increased approximately 9% year-over-year to $684 million and in comparison to a strong prior year, Q4 2020. On an organic basis, revenues increased 11.4% year-over-year, which included 11.8% organic growth in the BSI, Bruker Scientific Instruments Group, and 6.8% at BEST net of intercompany eliminations.  Our Q4 2021 non-GAAP gross margin decreased 50 bps year-over-year to 51.2% while our non-GAAP operating margin was 21.0%, a decline of 150 bps from 22.5% in Q4 2020 due to accelerated commercial investments, unfavorable revenue mix, as well as supply chain challenges and inflation. In Q4 Bruker reported GAAP diluted EPS of $0.50 compared to $0.45 reported in the prior year period. On a non-GAAP basis, Q4 2021 diluted EPS was $0.59, an increase of $0.01 from $0.58 in Q4 2020.  In summary, Q4 2021 was a quarter with continued momentum in bookings and backlog with strong organic revenue growth and ramping investments in our Project Accelerate initiatives and operational excellence drive. On Slide 5, we show Bruker's performance for the full year 2021. Our revenues increased by $430 million year-over-year or by 21.7% to $2.42 billion. On an organic basis, fiscal year 2021 revenues grew 19.1% year-over-year comprised of 19.4% organic growth in BSI and a 15.5% organic increase at BEST net of intercompany eliminations.  Full year 2021 growth and operating margin as well as GAAP and non-GAAP EPS performance all stepped up significantly year-over-year as our business recovered from the pandemic and accelerated strongly beyond pre -pandemic levels. In fiscal year 2021, we experienced particularly strong organic growth in our Proteomics, Microbiology, Biopharma, and industrial research markets.  We are very pleased with our 19% organic revenue growth, 240 bps this year-over-year gross profit margin expansion, and 340 bps year-over-year operating profit margin expansion, and more than 50% EPS growth in 2021. Our return on invested capital of 27.6% in 2021 was well above our long-term target of ROIC greater 20%. And it illustrates our differentiated business philosophy and entrepreneurial management process and culture, which we believe will resonate in times with higher inflation and increasing cost of capital.  Please turn to slide 6 and 7, where we highlight the full-year2021 performance of our three BSI groups and our BEST segment, all on a constant currency and year-over-year basis. In 2021, the Bio Spin group revenue grew in the mid-teens percentage year-over-year to 20691 million. Bio Spin saw strengthened demand for its NMR, preclinical imaging, and aftermarket offerings, while system installation activities recovered.  Bio Spin Systems revenue were up strongly year-over-year including revenue recognition on four gigahertz-class NMR instruments. In the fourth quarter, Bio Spin’s PCI division acquired MOLECUBES, a Belgian Company with innovative bench top, preclinical nuclear molecular imaging systems. For the full year 2021, CALID Group revenues increased in the low 20s percentage to $819.6 million with continued growth in our mass spectrometry and microbiology businesses and very strong performance in our FT-IR /NIR/Raman molecular spectroscopy product line.  We saw strong revenue growth for our timsTOF unbiased 40 proteomics and multiomics platform, which as we mentioned in our JPMorgan presentation in early January exceeded $100 million in revenues in 2021. The revenue for other life science mass like products like our research MALDI-TOF product line rebounded as well. Microbiology and Molecular Diagnostics revenue grew year-over-year, driven by high demand for MALDI Biotyper instruments and consumables.  This was coupled with the recovery of our tuberculosis diagnostics or TB diagnostics products while during Q4 2021 revenue from our SARS-CoV-2 PCR testing of $6 million -- approximately $6 million, was down year-over-year from Q4 2020, as expected. Full-year2021 revenues for our IR near IR Raman molecular spectroscopy products, were substantially higher year-over-year, with strong execution at the global industrial, applied, and academic markets rebounded from 2020, and grew further. Please turn to Slide 7. Full-year 2021 Bruker NANO revenues grew in the mid-20s percentage to $697.5 million.  NANO's industrial, research, industrial and academic business. Businesses rebounded strongly with industrial research outperforming. Revenues of our advanced X-ray NANO surfaces and NANO analysis tools all stepped up substantially versus 2020. Nano's microelectronics and semiconductor metrology tools performed very well in 2021 with ongoing strong bookings and backlog. Life science fluorescence microscopy revenue was up sharply year over year on product innovation and strong academic demand. NANO’s 2021 revenue included an M&A contribution from our September 20 -- September 2020 acquisition of Canopy Biosciences, Spatialbiology, targeted Proteomics tools and CRO services.  Finally full-year BEST revenue grew in the mid-teens, percentage net of intercompany eliminations driven by contributions from big science projects and a recovery in MRI superconductor demand by our medtech OEM customers. BEST superconductor demand appears healthy, but we continue to experience supply chain challenges due to material shortages and flow logistics. Moving to Slides 8 and 9 -- 8 and 9, we continue to make good progress with our Project Accelerate 2.0 initiatives which now represent about 54% of our total revenues.  On Slide 8, we highlight a recent majority investment that closed in January 2022 and which enhances our Proteomics solutions. PreOmics was developed -- has developed innovative automation and sample preparation tools and consumables for use in unbiased, deep Proteomics. PreOmics new BeatBox device in combination with Bruker's timsTOF platform provides accelerated, deep and unbiased Proteomics workflows for tissue biobanks or biopsy research.  On Slide 9, we show two other recent technology acquisitions that closed in January and also enhance our proteomics initiative. Prolab specializes in precision pumps, auto samplers, and Nano-flow to capillary LC or cap-LC systems to increase performance and robustness of 4D-Proteomics and 4D Metabolomics. Bruker also acquired PepSep, a Company specializing in nanoLC and components to optimize proteomics which are used in Bruker's nanoElute nanoLC system and by other manufacturers.  The expected fiscal year 2022 revenue from these three proteomics acquisitions is less than $10 million, but we believe these acquisitions have excellent growth potential. And because it's primarily consumables, they have high gross margin potential in the future, and allow Bruker to offer more complete, unbiased 4D-Proteomics and Multiomics solutions, including consumables, as well as higher performance in the future.  As we intend to invest in these separation and sample prep technologies, we expect these Proteomics acquisitions to be approximately $0.03 to $0.04 diluted in fiscal year 2022, which is incorporated in our fiscal year '22 guidance. Slide 10 illustrates the historical perspective of our transformation over the last several years, with expanding operating margins, accelerating organic revenue growth and double-digit EPS CAGR, all while maintaining return on invested capital greater than 20% which has resulted in robust stakeholder and shareholder value creation.  This is the result of our entrepreneurial focus on innovating high-value instruments and solutions combined with a continuous operational excellence drive. As a result, Bruker enters 2022 in its strongest position ever. We intend to further ramp our investments in the Project Accelerate 2.0 high-growth, high-margin initiatives to ensure those opportunities continue to drive profitable growth in the years to come. Specifically, to facilitate growth in our key opportunities in Proteomics, spatial biology, biopharma, and semicon metrology,  We plan to add incremental commercial and R&D investments of $20 million to $25 million in 2022. Included in our guidance and of course, including the three Proteomics acquisitions that I mentioned a moment ago. This also includes investments in Acuity and Canopy, if you recall our spatial biology ventures and previous acquisitions as well as into the two smallest semicon metrology acquisitions we did in the second half of last year.  As the revenue contributions from these Project Accelerate 2.0 initiatives increases further, they are expected to pull up our operating margins and revenue growth rate further; first towards our 2024 medium-term financial goals and then beyond. Finally, we have substantial balance sheet capacity to pursue disciplined strategic M&A with the right opportunities. In summary, during 2021 Bruker delivered excellent progress towards its strategic and financial objectives, our core businesses have rebounded strongly and our Project Accelerate high-growth, high-margin initiatives have performed very well.  I am pleased with how well our teams responded to a challenging supply chain and logistics environment. As we move through fiscal year 2022, our high backlog gives us good visibility on growth. We see meaningful areas for Bruker to develop market-leading positions, with our innovative technology and commitment to serving our customers. Let me now turn the call over to our CFO, Gerald Herman, who will review Bruker's financial performance and outlook in more detail. Gerald.
Gerald Herman: Thank you Frank and thank you everyone for joining us today. I'd like to add my warm welcome to Justin as he joins our IR and Corporate Development team here at Bruker. I'm pleased to provide more detail on Bruker's fourth quarter and full year 2021 financials starting on Slide 12. In the fourth quarter of 2021, Bruker's revenue increased 9% to approximately $684 million which reflects an organic revenue increase of 11.4% year-over-year. We reported GAAP EPS of $0.50 per share compared to $0.45 in the fourth quarter of 2020. On a non-GAAP basis, Q4 2021 EPS was $0.59 per share, an increase of $0.01 compared to $0.58 in the fourth quarter of 2020. Our fourth-quarter 2021 non-GAAP operating income grew 1.9% off a strong comparison in the fourth quarter of 2020.  In the fourth quarter of 2021, our non-GAAP operating margin decreased 150 basis points year-over-year to 21% principally due to the impact of accelerated investments, revenue mix, and supply chain pressures. As Frank mentioned, the Bruker team executed very well in the fourth quarter handling significantly higher volume despite COVID, supply chain shortages, and logistics delays. We finished the fourth quarter with cash, cash equivalents and short-term investments of approximately $1.17 billion.  During the quarter, we used cash to ramp selected Project Accelerate to [Indiscernible] investments in our key strategic opportunities, fund capital expenditures, as well as the acquisition of MOLECUBES and our dividend program. You may recall that in May of 2021, our Board approved a new two-year share repurchase authorization of up to $500 million, valid until May 2023.  In the fourth quarter, we repurchased approximately one million shares of Bruker's stock for a total consideration of $82 million. For the full year 2021, our repurchases totaled 2.1 million shares for approximately $153 million. We generated $138.6 million of operating cash flow in the fourth quarter which was partially offset by our CapEx investments resulting in $110.2 million in free cash flow for the fourth quarter.  This represents a $64 million decline from the fourth quarter of 2020 due to higher working capital associated with buffer inventories and our higher revenue level and related receivables. In the fourth quarter, we completed a private placement of approximately $500 million of 10-year notes carrying Euro front based fixed rates of approximately 1%. This provides us with further capital to continue to fund disciplined and strategic investments, both organic and inorganic in key growth areas.  Slide 13 shows the revenue bridge for the fourth quarter of 2021. As noted earlier, organic revenue in the quarter increased 11.4%. we had a positive revenue contribution from acquisitions of 0.3% and a foreign currency headwind of 2.8%. From an organic revenue growth perspective and compared to the fourth quarter of 2020, Bio Spin’s fourth quarter 2021 revenue decreased slightly due to an ultra-high field revenue mix headwind and the previous pull-forward of approximately $15 million in China -related revenues into the third quarter of 2021.  NANO organic revenue grew in the low 20% on strength in NANO's industrial research and academic businesses. CALID grew high-teens percent with strong performance in life science mass spectrometry and a bio --the MALDI Biotyper franchise, partially offset by a year-over-year decline in SARS-CoV-2 testing revenue. BEST revenue increased in the mid-single digits year-over-year net of interCompany eliminations.  Fourth quarter 2021 BSI systems revenue increased in the mid-teens percentage range organically while BSI aftermarket grew in the high single-digits organically compared to the fourth quarter of 2020. Geographically and on an organic basis in the fourth quarter of 2021, our European revenue was up mid-single-digits percent year-over-year. North American revenue grew in the high 20% range and Asia-pacific grew in the mid-single-digits year-over-year.  Rest of the world fourth quarter 2021 revenue, was significantly higher year-over-year, in the low 30% range. Slide 14 shows our fourth quarter 2021 P&L performance on a non-GAAP basis. Fourth quarter 2021 non-GAAP gross margin of 51.2%, decreased 50 basis points from 51.7% in the fourth quarter of 2020, driven principally by the impact of revenue mix and supply chain cost pressures. The fourth quarter 2021 non-GAAP operating expense were up 12.6% compared to the fourth quarter of 2020, and reflected a significant ramp of commercial investments in Project Accelerate 2.0 including in proteomics and special biology.  Our fourth quarter 2021 non-GAAP operating margin of 21% was 150 basis points lower than the 22.5% in the fourth quarter of 2020, which was a high watermark for operating margin performance for us historically. Our fourth quarter 2021 year-over-year operating margin decline was driven by lower gross margin and higher investments in marketing and sales associated with building out our commercial teams for growth.  For the fourth quarter of 2021, our non-GAAP effective tax rate was 34.4% compared to 31.9% in the fourth quarter of 2020, primarily due to certain unfavorable discrete tax items. Weighted average diluted shares outstanding in the fourth quarter of 2021 were $152 million, a reduction of approximately 1.3 million shares or 1% from the fourth quarter of 2020 resulting from our share repurchase activity over the past year. And finally, fourth-quarter 2021 non-GAAP EPS of $0.59 was up $0.01 compared to the fourth quarter of 2020.  Slide 15 shows the year-over-year revenue bridge for the full year of 2021. Revenue was up $430 million or 21.7%, including organic growth of an impressive 19.1%. Acquisitions added 0.4% to our top line while foreign exchange was 2.2% tailwind for the year. And Frank has already covered the drivers for the 2021 revenue performance. P&L results for the full year 2021 are summarized on Slide 16. For the full year, gross margin expanded 240 basis points to 51.1% reflecting higher revenues, volume, leverage, and mix while operating margin grew 340 basis points to 19.4% for much of the same reasons. The full-year tax rate was 28%, similar to the 28.1% rate in 2020.  Turning to Slide 17, in the full-year 2021, we generated a $190.4 million of free cash flow, approximately $45 million lower than in 2020, which was a record cash flow year for Bruker. Full year 2021 free cash flow benefited from higher net income, partially offset by higher working capital related to increased volume buffer inventories and the timing of receivables. Our capital expenditures in the year reflect our continuing investments in growth capacity, and productivity as part of our operational excellence drives.  Our cash conversion cycle at the end of the fourth quarter 2021 was 208 days. A reduction of 12 days compared to the fourth quarter of 2020, reflecting gradual improvement in our working capital cycle. Turning now to Slide 19, given our strong bookings growth and record backlog in 2021,we expect solid growth in 2022. Our outlook for 2022 includes organic revenue growth of 6% to 8% year-over-year. We estimate a foreign currency headwind of about 2%, with acquisitions contributing about 1% to growth. This is expected to lead to reported revenue growth for 2022, in a range of 5% to 7% compared to 2021.  Given the dramatic improvement in non-GAAP operating margin we delivered in 2021, and the significant additional investments in Project Accelerate 2.0 opportunities we intend to make in 2022, we expect non-GAAP operating margin expansion for 2022, to moderateto a range of 30 basis points to 60 basis points from the 19.4% level we delivered in 2021. We also expect 2022 quarterly margin progression to return to its more historical norm and expect to see the first half operating margins about 500 basis points to 600 basis points below the second half operating margins.  On the bottom line, this adds up to non-GAAP EPS for 2022 in an estimated range of $2.29 to $2.33, which would represent non-GAAP EPS growth of 9% to 11% compared to 2021. This also represents 13% to 14% CAGR from $1.57 pre -pandemic non-GAAP EPS level in the full year of 2019. We're projecting a non-GAAP tax rate of approximately 28.5% for full year 2022. Other guidance assumptions are listed on the slide. Our full year 2022 ranges have been updated for foreign currency rates as of December 31st, 2021.  For the first quarter of 2022 this outlook implies organic revenue growth in the mid-single digits on a year-over-year basis. We expect the first quarter to be impacted by two factors of note, first, continuing supply chain and logistics delays which may result in the push-out of certain shipments into later quarters. And secondly, we do not expect any GHz-class NMR revenue in the first quarter of 2022, which compares with revenue from two GHz-class systems in the first quarter of 2021.  On an annual basis, we expect to revenue -- recognize four GHz-class NMRs in 2022. To wrap up, Bruker delivered strong bookings, backlog, and revenue growth in the fourth quarter capping off an exceptional year of financial improvements in 2021. We're carrying record backlog into 2022 giving us a high degree of confidence in our ability to deliver another solid financial performance in 2022. And with that, I'd like to turn the call over to Justin to start the Q&A session. Thank you very much.
Justin Ward: Thank you, Gerald. I'd now like to turn the call over to the Operator to begin the Q&A portion of the call. As a reminder, to allow everyone time for questions, we ask that you limit yourself to one question and one follow-up.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. Our first question comes from Dan Leonard from Wells Fargo. Please go ahead.
Dan Leonard: Thank you for the time. So just a couple on supply chain and logistics. First off, was there any meaningful amount of sales pushed from Q4 to Q1 as a result of supply chain and logistics challenges?
Frank Laukien: Hi Dan, it's Frank. Well, there weren't really any push-outs like a number that I can give you but it is clear that supply chain and logistics put a break on the business and so we're pleased with our organic growth in Q4. But with those limitations in that environment, more would not have been easily possible but there's not a specific number of x-million that got pushed out. That would be impossible to delineate.
Dan Leonard: And Frank, would you attribute any of your bookings strength in 2021 to customer response to supply chain challenges, maybe they're ordering farther in advance, than they typically would allow for longer logistics or would you attribute it all to just organic core momentum in the business?
Frank Laukien: We don't really know. I know that question comes up from time-to-time, it's a good question. Certainly academic, hospital diagnostic customers, they don't really order ahead of time. Might some industrial or some semiconductor metrology companies with longer lead times, might they accelerate an order here or there. I can't exclude it, we don't have any specific evidence or information of that type, but I think it's probably a relatively minor effect but, there may be some of that out there.
Dan Leonard: Understood. Thanks for the color.
Frank Laukien: Thank you Dan.
Operator: The next question comes from Patrick Donnelly from Citi. Please go ahead.
Patrick Donnelly: Hey guys, thanks for taking the questions. A little bit of a follow-up on that. In terms of the margins, it might be for Gerald, can you talk about the moving pieces as we look to '22? Obviously, some increased investments, I assume a supply chain inflationary pressures are maybe offsetting some of the underlying strength. And then, how much you are able to pass on on the pricing side. I'd be curious, just the leverage on the margin as you look towards that guidance.
Gerald Herman: First of all, thanks for the question. We're pretty encouraged by the strength of our order bookings performance in 2021 and we saw very strong backlog -- record backlog for Bruker. So the strength of our business is there. I think the issue for us is more around timing from a logistics perspective given some of the supply chain issues. There are clearly going to be some modest impact relative to that. And we see it -- expect to see it in the first half of 2022, and that's what's driving us to lead to a little bit of color on the -- on our guidance is that we expect the operating margin performance in the first half to be weaker than it is in the second half.  So I would add that we're very encouraged by the strength of the business. As far as your second question around inflation, we are of course, like every other business experiencing some degree of cost pressure. That's coming from this whole supply chain process. Our view on this at the moment is that we've been able to navigate through it pretty effectively. I think in the fourth quarter. And more fundamentally, we expect to do that in 2022. You may know we are pretty active in presenting pricing changes into the markets where we feel we have flexibility to do that. And that will be part of our strategy as we move through the rest of 2022.
Frank Laukien: But we should keep in mind, just to add to that, that for us when we do increase prices, until that turns into revenue, there's a two to 3/4 time delay, so that all supports everything that Gerald said. Also keep in mind that our pricing and our backlog is baked in which is, again, why we think we'll go back to more of our historical pattern of the lower margins in the first half and then higher margins in the second half which is typical for us but wasn't the case last year. But it has been historically. So we have a time delay in passing on these inflationary pressures via pricing.
Patrick Donnelly: That's helpful. And then Frank, maybe on the funding outlook on the academic side for '22, clearly, we feel pretty good about it given six to eight organic guide. But can you talk about the U.S. and Europe in terms of the academic funding environment? What you’re hearing there, and confidence level, and the strength persisting here?
Frank Laukien: I hope that the -- with the Senate passed, but House delayed Competitiveness Act or ICA whatever it's called will pass once it comes out of the Committees. But of course it's very difficult to predict Washington. Even without that, I think the optimism and the funding for academic in the U.S. in general has been excellent, and obviously there could be a further boost. Now if that funding get through particularly with a lot of NSF but also other funding for semiconductor industry and so on in the U.S.,  I wouldn't expect that money to reach us so quickly. And even then, it probably would be 2023 revenue. But of course, we'll be very happy to have hopefully, that lead to bookings maybe in the second half of this year, and hopefully, another solid year then in 2023. But of course, that's more of a good long-term outlook. The shorter-term outlook from backlog and near-term demand, generally, has been quite strong in almost all of our markets and most geographies and certainly the major geographies.
Patrick Donnelly: Thanks, Frank.
Operator: The next question comes from Puneet Souda from SVB Leerink. Please go ahead.
Puneet Souda: Yeah. Hi, Frank, thanks for taking the question and Justin, great to have you on board. My first question is really on, obviously supply chain is a big topic here. Frank, which parts of the business would you say are more impacted versus others? The timsTOF, you had [CHEF and Mass] (ph) the nano, what sort of -- could you maybe provide some clarity there? And any line of sight you have at this point in when these things are likely to improve based on your conversation?
Frank Laukien: [Audio gap] crystal ball, we're staying at a minimum, it will persist throughout the first half. That doesn't mean that we know that it stops after the first half, we just don't see it stopped the first half, but I'm sure the supply chain challenges continue. And then we just don't know for how long they will continue or whether they'll gradually abate. We can speculate as much as anybody else but we don't know. We have certainly baked them into being challenging for the entire year in our outlook. Now, where do we -- I think BEST is -- BEST has the most torpedoes in the water for their supply chain, so to speak, not to get too graphic here. They're managing through it very well. And of course they have the two factories on two continents and multiple supply chains. But for them it's the most difficult, managing really well so far as our all of our business.  And the second part is really electronics and chips and that can hit all of our product, other than maybe some consumables have electronics and chips. So that really is -- that can affect absolutely any product line. And we are constantly actively managing that promise deliveries get pushed out all of a sudden by weeks and months. Some minor component, all of a sudden, isn't available. We have to figure out a way to get it somehow. So it's really, very, very choppy waters and heavy lifting, and our teams are doing really, really well, but it is an extraordinary supply chain disruption out there, and it's incredibly hard work. So all the more admirable that they've done so well. I think for us supply chain is, however, a quarterly cadence question rather than a question for the year. We feel really quite good about the year but could something get pushed from one quarter into another? Yes it can. So I think it's a short-term issue, probably throughout the year but I don't think it fundamentally changes anything on how we progress in -- on an annual cadence in our strategy, that's our view.
Puneet Souda: Got it. Super helpful on that. And then just my follow-up is on proteomics. Obviously timsTOF has been a excellent driver for you, a really remarkable growth in that instrument. I assume that given -- based on what you provided at the start of the year, you're probably nearing 415 installed or so here. So maybe just tell us at this point in time of the growth trajectory, what growth we should imply for this platform, and do you have all the required accessories and capabilities around the instruments with these new acquisitions in terms of LC tissue capabilities and other capabilities that you've built in software around timsTOF? Thanks.
Frank Laukien: Yeah. So first of all, we continue to operate in an ecosystem, on software, we'll never have all of it in-house. We have some software in-house or past GPU, [Indiscernible]processing, and now our -- you're familiar with that obviously, our teams Dinn or DINN software, which is absolutely remarkable, particularly in conjunction with [Indiscernible] passive workflows, the data independent workflows. But we also work with many, many other small -- smaller software companies that are an essential part of our ecosystem.  And on the consumables and separations and aside and we've made big strategic progress with these acquisitions, but they require further investments, they are very good basis, we probably saved ourselves three or four year in leapfrogging into these fields inorganically, but now it's not all done now that this requires further development with these often smaller but very great technology companies and we're just looking forward to then offering more and more complete solutions at least on the consumables automation separation side. Of course, we'll still use lots of software also from other companies in this ecosystem. With all of that, I'll answer your very first question, Puneet. I will just say that our 4D-Proteomics and 4D-Metabolomics is expected to grow well above the corporate average also going forward.
Puneet Souda: Got it. Thanks.
Operator: The next question comes from Jack Meehan from Nephron Research. Please go ahead.
Jack Meehan: Thank you, and good morning. My first question was, can you just talk about the 2022 guidance? Just what the outlook assumes by segment for organic growth, and just a little a bit more color on what you're thinking within the mid-single digits for the first quarter by segment as well?
Frank Laukien: Yes. I don't think we're going to do it by quarter, but for the full year, Gerald, maybe you'll want to give some ideas.
Gerald Herman: -- relative to the market segments themselves, and I think you've heard Frank’s positive review relative to the academic markets and how those are all playing out. We had excellent strength in 2021 in the biopharma segment, and we expect to continue that as we move forward into '22. That's an area that, as you like to know, is a little bit underrepresented in Bruker, and we're driving hard to improve that, strongly. The other areas that are very solid at the moment, remain in the industrial research and industrial areas. Obviously, we're on a very good track relative to our proteomics area. These are all strong.  You've heard a little bit, I hope in the JPMorgan conference, around our MALDI Biotyper and performance in the microbiology and diagnostics space. So actually, almost all our segments are performing well.From a group point of view, I think you can continue to see the fastest organic growth from the Nano and CALID groups in 2022 with BEST and Bio Spin also growing, but not as -- not quite as fast as Nano and CALID. That may help you with your modeling. And yes, since you asked about Q1 '22 as I think we pointed out earlier, we will not have -- the B-Bio group will not have any gigahertz system in Q1 revenue, that's moved to Q2, this year 2022 whereas last year 2020 -- 2021, I'm sorry, we had two one gigahertz class systems in the first quarter. B-Bio will have a weaker Q1 2022 year-over-year if you want some group guidance -- group color, so to speak.
Frank Laukien: Bio Spin will have a good year for the year but we can start at Q1.
Jack Meehan: That is helpful. And maybe just on that point, so the mid-single digit organic philosophy for the first quarter, I actually thought that was pretty impressive because there's two -- the headwind from the two gigahertz systems is three or four points by my math and sounds like you're building in some caution related to the supply chain. So we're just curious if you could call out, are there any good guys that are contributing the bad or can you just comment on the magnitude of the backlog you're entering the year with versus last year? Just to talk about what's driving the underlying above the full-year trend.
Frank Laukien: I know, thank you. It is actually mid-single-digits in Q1, given those two-supply chain caution and the headwind from two-gigahertz class systems. Isn't that, so thank you. It is mostly -- I mean, NANO and CALID will be the good guys in Q1 to use your language. And indeed, those are also the businesses that has the highest backlog increase. Overall, our backlog at the end of the 2021 was at record levels in around $2 billion, which is amazing.
Jack Meehan: Thank you, Frank.
Operator: The next question comes from Derik DeBruin, from Bank of America. Please go ahead.
Derik DeBruin: Hey, good morning. Thanks for taking my call. Gerald, can you talk a little bit about gross margin targets for the full year and pacing, and also just how FX is flowing through on the margins this year. Thanks.
Gerald Herman: Sure, you're referring to 2022, I take it.
Derik DeBruin: 2022 yes of course
Gerald Herman: I think in our case, you've seen we put up very strong gross margin performance in 2022. Again, this is part of our philosophy regarding the strength in our Project Accelerate 2.0 initiatives and the overall strength of the business at the moment. We expect most of that to continue into 2022, particularly Frank’s highlighted the NANO Group with both industrial as well as semi conductor performance helps on the gross margin line. And in addition, we have a question. We're still working hard on a whole range of strengthening our performance in a number of other areas, including biopharma where we see good gross margin performance. What I would say relative to the phasing, our gross margin performances is largely focused on mix. You just heard a little bit about the ultra-high field which drops better gross margin performance in. It's much better in the last part of the year. I'd say we had very strong plans for the third and the fourth quarter on the gross margin side. I think overall, we're encouraged on what we see for the gross margin levels.
Frank Laukien: But that will generally see growth. Most of our operating margin improvement comes from gross margin improvement. It was about 2/3 in 2021. And I don't have an exact number or range, but it will be more than half of our operating margin improvement, especially as we have considerable OPEX investments in commercial and R&D rate. Gerald, we don't guide specifically on gross margin but we expect further progress there and most of our operating margin expansion this year which is a bit more moderate than last year, by choice, time to -- we're really benefiting. Last year we harvested in a big step-up for many of the Project Accelerate investments made years earlier and now we're really pushing the next wave of investments to continue to benefit towards '24 and then really beyond that as well. So --
Derik DeBruin: Great.
Frank Laukien: -- that's how we're thinking about it.
Derik DeBruin: And then one follow-up, Gerald, just FX pacing on revenues?
Gerald Herman: Yes. Well, FX continues to be a little volatile. I guess I could say even in the month of January, we received an up and down. I think generally, the way this works, as the foreign -- as the U.S. dollar strengthens against the euro and the franc, which is one of our major, we're showing a foreign exchange headwind of about 2%, and we are getting a little bit of benefit from some acquisitions in our guidance as well.
Frank Laukien: It was under revenue.
Gerald Herman: Under revenue [Indiscernible], yes.
Frank Laukien: Yes.
Gerald Herman: So I think we can go through that a little more detail if you'd like, but it's fairly similar to our normal scenario where the USD strengthened.
Derik DeBruin: Got it. And Frank, just how much your revenues are coming from Project Accelerate related products and projects right now? And how did those grow relative to the legacy business?
Frank Laukien: It's about 54%, which was about even with 2020. In 2020 we took the big step-up because our Project Accelerate businesses held up much better in 2020. And in 2020, the Project Accelerate became more than half of our revenue, about 54%. And then, yes, last year, in 2020, they were also about 54%. Their growth has been higher than the corporate average.
Derik DeBruin: Got it. Thank you.
Frank Laukien: But what that means is that our core business has also been very strong in 2021 from x-ray tools to infrared applied market tools, many, many -- all the way to BEST. Last year it really was a beautiful alignment where not only Project Accelerate very well, but also our core tools did well in terms of revenue growth and margin expansion.
Operator: Our next question comes from Josh Waldman from Cleveland Research. Please go ahead.
Josh Waldman: Thanks for taking my questions this morning, just a couple for you. First a quick follow-up on FX, Gerald did you quantify how much, of the expected out margin expansion is coming from FX?
Gerald Herman: No, we don't typically do that, Josh. But you can see our overall story on the top line is reflected in our guidance slide.
Frank Laukien: But it's also another very large effect going forward. We highlight in some years, Josh, when it's a big effect. We don't expected it on the operating profit margin to be a significant effect in 2022 so far, it has the headwind on the revenue minus 2% but by the time you get to operating profit margin or EPS, it is not expected to be a major driver hence, we don't highlight it.
Josh Waldman: Got it. Okay. Then, Frank, wondering if you could provide an update on the bad tax situation in China. Did you see it easing here? Did this cause you to carry more revenue into 2022 than maybe you would have otherwise? And then I guess a view on China overall, as you think about your guide and your expectations there for 2022 would be helpful.
Gerald Herman: Josh, if you don't mind, I will take that. It's Gerald. We did see some relief relative to the whole tax certificate issues that started early in 2021 in China. Those have resolved themselves largely in many of the larger provinces in China, at least in the fourth quarter and we're continuing to see improvement thus far in the first quarter of 2022. And just generally speaking just to frame it, the China business for us is around 15% of the total Bruker revenue. And it's a very important market for us. We had very solid growth on both on the bookings as well as on the revenue side in 2021. And we are expecting to continue to see that level of growth in '22. The market conditions actually in China, even from a logistics perspective, seem to be normalizing. And so I would say it's business as usual despite some supply chain challenges.
Josh Waldman: Right. Appreciate the color.
Gerald Herman: Sure.
Operator: The next question comes from Tycho Peterson from JPMorgan. Please go ahead.
Tycho Peterson: Frank, I've got a timsTOF question. You did the PreOmics investment, I know it's relatively small but you'd also done this year a partnership in January. How do you think about those two since they seem to be solving for something very similar?
Frank Laukien: No. Actually, very different. Good question though, Tycho. So as you know, seer is very much focused on plasma proteomics, and [Indiscernible] plasma proteomics. And we have a number of joint customers who exploit the seer Proteograph and then our timsTOF for exceptional depth and throughput on plasma proteomics. The consumables of PreOmics, some of the consumables can be used in conjunction even with -- even by customers who have a Proteograph. And then it's very much focused with the BeatBox on tissue homogenization and license and on, let's say, biopsy samples and things like that. So they're complementary and mostly with a different focus.
Tycho Peterson: Okay. And then, as we think about your spatial portfolio with Canopy, Vitara, Acuity, can you just talk a little bit about what we should be thinking about in terms of milestones and a business development for that portfolio this year?
Frank Laukien: The Acuity is easy, it's all R&D and development and we're building up the two sites on West Coast, East Coast for Acuity, building up the teams, working on products and solutions strategy. And the simple answer is don't expect any product revenue or product announcements yet in 2022. 2022 is all investment at Acuity and then a year from now, we'll talk about Acuity then having first offerings perhaps in 2023. Canopy, very different, very much in investment year 2021. That's one of the areas where we're ramping up the commercial teams as well as the R&D in preparation for significant product news in 2022. So Canopy, moderate growth last year, lots of investments, but hopefully, beginning the ramp or more significant ramp, let's say at least in the second half of this year. The two different stories -- two different areas of the special biology market, Canopy, big investment last year, continued investment this year, particularly commercially, acuity, all product development.
Tycho Peterson: And lastly, you're taking R&D up by $20, $25 million this year. All machines have some spatial investments, but are there other areas that are getting outsize R&D investment this year?
Frank Laukien: It's actually not all R&D this year. It's also -- lot of it is commercial, and Canopy is an example, but there's a number of areas in proteomics, spatial biology, but also in other areas where we're ramping up our commercial capabilities to prepare for accelerated further accelerations in growth, so this is not just R&D this time. Actually, the commercial investments on the OPEX side, of this extra $20 million to $25 million, a bigger part is strategic marketing, commercial, sales that counts. And there's also additional R&D, but it seems likely smaller component.
Tycho Peterson: Okay. Thank you.
Frank Laukien: We had done more of the R&D investments earlier and we continue to do that. But now we also, for these products that we're launching and have launched, we're ramping up the commercial teams.
Operator: The next question comes from Dan Arias from Stifel. Please go ahead.
Dan Arias: Morning guys. Thanks for the questions, Frank, just to further the thought on Accelerate. For Accelerate 2.0, where are you assuming growth for the products in that initiative come in just under the 68% overall outlook? I think in June you talked about high-single to low-doubles but that was for '22 through '24. So I'm just curious why you're thinking you'd start off there, growth just for this year?
Frank Laukien: This year, we would again expect our Project Accelerate 2.0 growth to be above the corporate average, which as you've seen, is 6% to 8% as our guidance for organic growth for the corporate average. But we don't expect a huge discrepancy as we had in 2020, but perhaps closer to 2021, where our other core businesses are also showing nice growth. Project Accelerate above the average but not dramatically, because the core business is doing okay.
Dan Arias: A little bit. I am trying to square away the outlook in June. For Accelerate 2.0, when you put a discrete range around that portfolio, high singles to low doubles, should we think about this year being more high singles and then at some of these new opportunities come into the mix. That's when you get to low doubles for that portfolio or [Indiscernible]
Frank Laukien: We don't have a range. Aftermarket is a very solid grower, but it tends to be high singles. Proteomics and spatial biology from a small base, proteomics from a larger base, clearly expect double-digit growth there. We have on semiconductor, microelectronics, we expect very good, more like double-digit growth. Last year, our microbiology business grew amazingly well. So sometimes when you have such strong growth the following year maybe you're you're more back to the high single-digits, although we haven't finalized that, we will see how that goes. So I think the short answer would be yes, the high single to double-digit growth for Project Accelerate also makes sense for this year.
Dan Arias: Okay. Thank you for that.
Frank Laukien: I neglected to say BioPharma has been very, very strong for us. I know we talk about more proteomics, special biology, and maybe MALDI Biotyper because there isn't one product or one solution for BioPharma. But the numerous very differentiated and pretty unique BioPharma solutions that we have for NMR and mass spec primarily, but also from molecular spectroscopy have just done really, really well. And so our BioPharma and applied, with BioPharma being the much larger part, starts to be around 18% or so of our revenue and that has just grown very dramatically and with good marginsas well in recent years. So that's -- that and semiconductor metrology being so strong, maybe we're a little bit under the radar. I mean, they're not under the radar but they're lower near the horizon whereas proteomics, spatial biology, and microbiology probably get the bigger headlines. But those are the two areas that are strong as well.
Justin Ward: And thank you for the Q&A. Operator, that will bring to an end the Q&A portion of the call as we are now past 9:30. So I wanted to thank everyone for joining us today. During the first quarter, Bruker will participate in the SVB Leerink Global Healthcare Conference. Bruker's leadership team looks forward to meeting with you at an event or speaking with you directly during the quarter. Feel free to reach out to me to arrange a follow-up. Thanks, and have a good morning, everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.